Operator: Welcome to the Brookfield Infrastructure Partners' conference call and webcast to present the company's 2011 year-end results to unitholders. [Operator Instructions] 
 At this time, I would like to turn the conference over to Tracey Wise, Vice President, Investor Relations and Communications. Please go ahead, Ms. Wise. 
Tracey Wise: Thank you, operator, and good morning. Thank you all for joining us for Brookfield Infrastructure's Fourth Quarter and Year-End 2011 Earnings Conference Call.
 On the call today is Chief Executive Officer, Sam Pollock, who will discuss highlights for the quarter and the year, provide comments on our strategy and the outlook for our business. Also joining us is John Stinebaugh, our Chief Financial Officer, who will review our financial results. Following their remarks, we look forward to taking your questions and comments.
 At this time, I would like to remind you that in responding to questions and in talking about our growth initiatives and our financial and operating performance, we may make forward-looking statements. These statements are subject to known and unknown risks and future results may differ materially. For further information on known risk factors, I would encourage you to review our annual report on Form 20-F, which is available on our website.
 With that, I would like to now turn the call over to Sam Pollock. Sam? 
Samuel Pollock: Thank you, Tracey, and good morning, everyone. I will start with some basic comments, then I will turn it over to John to review our results.
 In the first half of 2011, we were operating in a business environment that had considerable positive momentum. After mid-year we began to face economic headwinds as critical decisions in the United States and Europe as well as monetary tightening in China began to dampen global consumer confidence.
 While Brookfield’s infrastructure was impacted by these negative developments, it was nonetheless an exceptional year for the company. We grew our funds from operations per unit by 35% to $2.41 and increased our distributions per unit by 20% over 2010 levels. As a result, Brookfield Infrastructure unit depreciated by 35% on the Toronto Stock Exchange providing a total return to our unitholders of 42%. Our strong performance also reflected significant investor interest in company such as ours with secure cash flows and growth generated from self-sustaining business models.
 As we enter 2012, we are in a position to deliver further growth for unitholders. With the equity offering that we closed in October of 2011 we have fully funded our capital backlog on which expect annual returns well in excess of our 12% to 15% objective. We also have significant capacity to fund new organic growth projects and take advantage of attractive acquisition opportunities.
 In consideration of our outlook for the upcoming year, the board of directors has approved a 7% increase in quarterly distribution at $0.375 per unit. This increase is consistent with our annual distribution growth target of 3% to 7%.
 With that, let me now turn over to John to review our results. 
John Stinebaugh: Thanks, Sam. In 2011, we earned FFO of $392 million compared with $197 million in 2010. This doubling of our FFO was primarily driven by our merger with Prime Infrastructure. Our performance in 2011 also highlights the benefits of our diversification which has enable Brookfield Infrastructure to generate very consistent cash flow despite the impact of these challenging economic conditions may have had on any of our businesses.
 During the year, our Utilities business generated FFO of $275 million compared with $144 million in 2010. On a run rate basis, our Australian coal terminal cash flow increased by approximately 15% over the prior year due to a regulatory rate reset in January 2011 as well as favorable foreign exchange movement. Our Chilean Transmission business posted a steady increase in FFO driven revenue indexation and contributions from growth investments.
 The significant growth in our UK regulated distribution business was largely attributable to a sharp increase in developer contributions due to a greater number of electricity connections in our product mix. For the year, our Utilities business earned an FFO yield of 16% which we believe is very attractive in light of the whole risk profile of this segment.
 In our Transport and Energy business, our FFO was $167 million in 2011 compared to $91 million in 2010. This segment faced challenging operating conditions during the year. Our North American gas transmission business was adversely affected by the implementation of FERC rate settlement as well as weak market conditions caused by low natural gas prices and the commissioning of 9 billion cubic feet per day of new pipeline infrastructure.
 Our Railroad performance was depressed by severe drought in Western Australia which reduced our revenues from grain by 40% compared with 2010. This business begins 2012 with a strong tailwind as result of the record grain harvest in Western Australia that has 40% above normal levels.
 Our Port businesses performance was consistent with last year, as an increase in cash flow in the UK, offset a decline in cash flow in Continental Europe. In 2012, our UK port is beginning to generate incremental revenue from the Corus Steel mill, whose ownership concluded over 90% of the upgrades required to reopen this facility. We expect that our UK ports revenues will step up during the first half of 2012, as this facility comes online.
 Overall, the AFFO yield for our transport and energy segment was 7% for the year, clearly below our expectation. We expect AFFO for this segment to improve substantially over the next several years, with the expansion program at our railroad is fully commissioned and operating conditions to improve at our port and gas transmission businesses.
 In 2011, our timber business significantly increased its profitability, with FFO of $33 million versus $11 million in the prior year. This improvement in performance was driven by substantial demand for timber in China and other Asian countries, particularly in the first half of the year. With government efforts to cool down the housing sector, demand from China moderated in the second half of the year, but demand from Japan and Korea remained strong. Average realized prices in 2011 increased 14% over 2010 levels.
 In light of these favorable market conditions, we increased our harvest by 28% over the prior year level to 99% over our long run sustainable yield. Significant portion of this increase was shipped to Asia and export comprised 47% of total log sales for the year. The AFFO yield for our timber business was 6% in 2011.
 We expect that demand from Asia will remain strong. As U.S. housing markets begins to recover, we plan to increase our harvest to 120% of long run sustainable yield to begin monetizing our surplus inventory.
 On the financing front, during the past year, we executed a number of transactions that further solidify our balance sheet. In October, we issued $660 million of equity net of expenses. We used the proceeds to make the investment in our Chilean toll road, and to pay down our credit facility, which we had drawn to fund investments in our railroad. This $28 million unit equity offering was executed on a cross-border basis, demonstrating the broad access that we have to the equity capital markets in both the United States and Canada.
 Additionally, we closed a $350 million credit facility to fund the expansion program at our railroad. With the combination of these financings, we have fully funded our capital backlog. Furthermore, we ended the year with $1.5 billion of group-wide liquidity, including $700 million of capacity under a corporate credit facility, which is available to pursue new investments.
 In 2012, we will seek to proactively refinance our debt portfolio and extend maturity. We are planning on retiring debt at our natural gas transmission business and a subsidiary holding company debt assumed with the Prime merger, which in total aggregates approximately $300 million. We intend to fund these retirements with a long-term debenture issue by Brookfield Infrastructure.
 I’ll now turn the call over to Sam to discuss our growth initiatives and provide the outlook for our business. 
Samuel Pollock: Thank you, John. Let me begin with our growth initiatives. In 2011, we advanced a number of organic growth initiatives, investing a total of $540 million in our business. During the year, we commissioned $360 million of projects that began producing cash flow and we increased our construction work-in-progress to $290 million. We expect that the construction work-in-progress will be commissioned by late 2012, at least of majority of that, when may be these projects will begin generating revenue.
 We were also successful in making selective acquisitions that complement our existing networks and we established new operating platforms for future growth.
 In our utility segment, we began construction on our Texas Transmission System, a project launched 2 years ago that we expect to complete in early 2013. We also augmented our utilities business with the acquisition of a stake in the US Transmission Company and subsequent to year-end a stake in the South American Electricity Distribution business. For these 2 acquisitions, we invested a total of $53 million and increased our rate base by $124 million.
 In our Transport and Energy business, we continue to advance our railroad expansion program in Australia. By 2014, the expansions are projected to increase the tonnage that we transport by 50% and produce incremental EBIDTA of $150 million per year.
 To date, we invested approximately $265 million in capital expenditures associated with these projects. The majority of this investment is associated with the upgrade of approximately 185 kilometers of rail lines into the port of Geraldton. As at the end of January 2012, we have installed approximately 40% of this required track, and we expect to complete the project on time and on budget by the end of 2012.
 In December, we staffed a toll road platform with an investment of approximately $160 million to acquire ring road that circles Santiago, Chile. Over the next few years we hope to expand this platform with further investments in high quality toll roads in South America and Europe.
 Now, looking forward, in 2012 and beyond, we are expecting a choppy recovery in the world economy. We are optimistic that the outlook for our Australia and South America, 2 of our important markets will remain strong. We believe that demand for infrastructure will continue to be robust in these regions, driven by a substantial build out of resource projects and the requirement to meet growing consumer demand for goods and services. However, these markets are sensitive to developments in China and India, both of which are experiencing economic challenges not previously experienced during the recent developments. While we’re not anticipating any major disruptions, we will monitor situation closely.
 We believe there will be modest growth in North America, as the effect of the deleveraging that began 4 years ago finishes filtering through the economy. However, the European sovereign debt crisis is not resolved, and the impact of recent fiscal austerity has yet to play out.
 Furthermore, the global banking sector is under stress due to uncertainty created by regulatory policies, as designed to safeguard the financial system. Given this backdrop, we believe there will be considerable volatility in these developed markets, as economies are fragile, consumer confidence is low, and there is limited flexibility to cope with exhaustive events.
 The long-term objective of Brookfield Infrastructure is to grow its FFO per unit by 3% to 7% per annum, realizing a conservative approach to managing risk and allocating capital. As we’re not currently anticipating margin expansion at our European ports or US natural gas transmission business due to challenging operating conditions. Our existing backlog of organic projects will be the driver of our growth in the near-term. In order to position us for further growth in this uncertain economic environment, we’re now focused on replenishing our pipeline of organic growth projects.
 In 2012, one of our most significant organic growth opportunities is the expansion of our Australian coal terminal. We’ve been granted an allocation of land at Dungeon Point that provides us the ability to double the size of our coal terminal business, which is already among the largest in the world. We are spending considerable time assessing the feasibility of this project, negotiating long-term contract with clients, and obtaining permits for development of the terminal. The earliest that we would be in a position to commit to construction of a new facility would be in 2013.
 Additionally, we’re working hard to permit the next tranche of growth at our Australian railroad, which we expect will be linked to iron ore and coal mining projects in areas that’s the Yilgarn, the Midwest, and Collie region. All these projects connect to our network and will likely require significant investment in both our rail network and the ports that are linked to our system. Ultimately, this growth will depend on global demand for commodities, commercial viability of the associated mining projects and the availability of port capacity.
 In conclusion, while our outlook for the global economy is cautious, we remain enthusiastic about Brookfield Infrastructure’s prospect for success.
 On the commissioning of the projects and our capital backlog, over 80% of our cash book will be regulated or generated under long-term contracts. Furthermore, as many of our assets capture and place them through indexation mechanism, we should enjoy a compounding effect on our cash flows. And as always, we will look to balance increasing distribution to unitholders, with prudently reinvesting our cash flow in attractive growth opportunities.
 Operator, that’s the end of my comments. I’d now like to turn the call back over to you to open the call for questions. 
Operator: [Operator Instructions] The first question today comes from Brendan Maiorana of Wells Fargo. 
Brendan Maiorana: Sam, just maybe to start off with the shadow pipeline that you talked about. I think the Dudgeon Point is around $3.5 billion potential, I think the rail projects, the additional rail projects, is probably another $500 million. Can you kind of just frame up maybe like what your expectations would be for timing on those projects and how returns would compare, maybe if you contrast Dudgeon Point to where you guys stand at DBCT and then the additional rail projects to the current $600 million of rail projects that you have? 
Samuel Pollock: Sure. Let me begin with Dudgeon Point and just to summarize what the opportunity is. As you recall, Brendan, we were allocated 50% of 380 hectare piece of land adjacent to our port in Australia. So our share is about 190 and we have the opportunity to build a terminal somewhere in the 60 million to 70 million tons per annum range. Our share of this will be about 70%. It’s probably $5 billion or $6 billion terminal. The numbers you mentioned are directionally right about $3.5 billion. At the moment where we stand is that we have negotiated with customers where they are funding our feasibility studies to the tune of $240 million for the next 6 to 12 months. And so, we are preparing our feasibility work to assess the viability of the project and we are also in the early stages of negotiating contracts with initially a foundation customer and then, once we have achieved that then we will roll it out to a number of multiuser tenants. At this stage, we haven’t made a final decision on exactly how the project will come together. I think our reading at this moment is probably to have 2 different facilities, one being a dedicated facility to a customer or a group of customers and then a multiuser facility and the 2 of them would share infrastructure. We think that’s probably the most attractive given our initial discussions with people. The types of framework that we would negotiate would be relatively similar to what’s in place with DBCT in the sense that it would be a revenue building block approach. The negotiations -- this would not be a regulated asset like DBCT, so we do have the ability to earn higher returns and we would if it was a regulated business. What we are looking to negotiate, and obviously this is still a subject to negotiations, is probably a U.S dollar generated revenue stream, one that is inflation indexed, and our objective is to earn a minimum 15% plus on our capital. This would be the same sort of take or pay contracts with full pass through of capital, both maintenance and growth capital to the customers and recovery of operating costs. We think on a total risk adjusted basis, we think there’s a great opportunity here. 
Brendan Maiorana: And then, just -- sorry -- on timing on that one. So, if your customer feasibility studies are done in 6 to 12 months and then you negotiate contracts maybe sometime during that timeframe where they are after, then you start putting dollars to work. When does it actually start to -- when would that project come online?  I recognize it is probably a little bit of a wide timeframe, but if you could kind of give us some [indiscernible]? 
Samuel Pollock: Yes, I think if everything goes smoothly, which we expected that there is a good chance that it could, that we could be in a position to begin construction in 2013 and that -- based on that start date the facility could come on stream in stages probably commencing in 2017. 
Brendan Maiorana: Great. And on the rail? 
Samuel Pollock: On the rail, yes, to be honest, it is probably premature to speculate on the various initiatives. We have got multiple discussions with various iron ore and coal producers in the area. At this stage, I don’t have great visibility into which ones would come first, but the types of contract would be similar to ones that we recently signed with the 6 expansions and the new projects they are coming on stream in the next couple of years. So take or pay, inflation linked, I think the real issues for us with a number of the new opportunities is that the customers are, mostly not all but mostly juniors, and as a result, we have to comfortable with the credit quality of the customer. Like those are the things we are working on, we would protect ourselves or any capital we deploy with some sort of either a letter of credit or other mechanism. So we would use the same playbook that we did in the most recent expansion. 
Brendan Maiorana: Is it fair to assume that the return EBIDTA over cost return that you are getting on the current set of projects, which is around 25% to 30% with that number given all the cost that you would give for the buildout would probably be a little bit lower in terms of return percentage for the additional projects? 
Samuel Pollock: It all depends on exactly where the projects come on stream, because in situations where we have recently expended capital to upgrade the network which we have some capital in our budget over the last couple of years that we invested then the return on the expansion project tend to be a bit higher, if it is in sort of new areas where we haven’t done some of that pre-work then there could be more capital, then our return just slightly lower. I’m comfortable to target returns in the plus or minus 20%. I think that’s an area that I think is very achievable and if we do better than that that would be a plus. 
Brendan Maiorana: Okay, great and then this last one if I could for John and I'll jump back in line. The Chilean toll road was that in the other line item in transport and energy, and if so, is there something seasonally that would cause the EBITDA to be relatively low in the quarter?  And how should we think about the ramp for 2012? 
John Stinebaugh: Yes, Brendan, in terms of the closing of that, it didn’t close until mid-December. So there is no real material impact from the toll road in our 2011 financials. 
Operator: Next question comes from Andrew Kuske of Credit Suisse. 
Andrew Kuske: If you could just give us a little bit more color around the Columbian utility acquisition and really just the structure of that, and how that was done. And then I’ve the question in part; is BAM does have a Columbian Fund?  I’m just wondering on how that deal was structured. 
John Stinebaugh: First, let me just give a little bit of a background on the deal and why we’re excited about it. This is a distribution utility -- an electricity distribution utility in the Boyaca region, which is 150 kilometers away from Bogota. And it’s a region -- it’s got a good growth with some of the industrial industries that are deploying capital on the cement and the commodity side. The regulatory framework in Columbia is very similar to Chile, where you earn a return on replacement cost. So effectively, you earn a inflation protected return. And because it’s on a replacement cost, you don’t have to invest additional capital in order to maintain your rate base. The other thing that we like about it is this is a utility that is grandfather to participate in all aspects of the electricity industry, generation, transmission, and distribution. So we really think this is going to be platform for us to build out our business in Columbia. There is some privatizations of other distribution companies that are smaller that are going to come to market over the next year or 2. So we think we’re well positioned to take advantage of those opportunities, as well as other opportunities within the utility sector. So we got a good management team and we’re looking to grow this. In terms of structure, what we ended up doing, a couple of years ago, when we were looking to invest in Columbia is -- it's a country we like quite a lot. It’s got a stable political framework as well as fiscal framework. But we hadn’t put capital there before. So we did arrange to invest alongside local institutions. So, we, with this transaction, are investing alongside local pension funds, as well as some of the other international partners that Brookfield has. And good share of equity in this investment is approximately 18%. 
Andrew Kuske: And is that a direct investment from BIPs into the actual assets or is it into the Columbia infrastructure fund? 
John Stinebaugh: It’s a structure so that we have got a direct interest in the asset, but it is alongside the institutions that I mentioned in ultimately Brookfield is in control of 100% of the equity that has been deployed. 
Andrew Kuske: How broadly do you cast the net for infrastructure within Columbia?  Or even more broadly I guess that on a global basis? Would you look at things like your cell phone towers and telecoms or structure, not the telecom operations but the actual infrastructure side of that business? 
Samuel Pollock: Telecom, Andrew, is in area that some people that are infrastructure investors have looked at, it’s not one that we spent a lot of our time on. So, I wouldn’t say that that’s going to be one of the priority sectors that we have on our radar screen, but we are looking at utility investments that could be on the electricity side, the natural gas side. There is infrastructure in Columbia particular that is needed to help get oil that there is a lot of investment by E&P companies developing, but you need infrastructure to get to market as well as on the coal side. And Columbia like Peru and Chile there is a lot of capital to deploy in roads as well. So we would envision that across those sectors there would potentially be opportunity for us to invest. 
Andrew Kuske: So you would like it this is being pretty similar like a what was done years ago with the Trans-elect [ph] investment into Chile and how that’s translated into further investments and further assets classes? 
Samuel Pollock: Absolutely, it’s our first investment in the country and we will look to build a broad business infrastructure within Columbia alongside the partners that I mentioned. 
Andrew Kuske: Okay, I appreciate that. Now, if I may just ask another question related NGPL. Longer term how do you think about NGPO, because it got a non-controlling position of that company, really of that asset and it is sizable? And it has had some difficult lies because of the FERC rulings and just the environment for natural gas in North America. How do you think about that asset over a longer period of time?  Is that something that you would seek to dispose of? Take a greater stake of? 
Samuel Pollock: NGPO is a great franchise. It has had a decline in cash flow because of the FERC Section 5 as well as market conditions, but it has got a great franchise area in the Chicago market, it's got over 60% market share. So it’s one that over the long term thing that it will definitely improve its cash flow and maintain the strength of franchise it’s got because it’s a market area gas pipeline. As we have mentioned before we like to have greater control in businesses. So we would look to figure out a way to convert this into a core asset or alternatively if we can’t convert it into a core asset, we may consider divesting and redeploying capital. We’re not looking to do anything right now because we don’t think we could get fair value in light of the cash flow of the business, but over the longer term we would like -- we would ultimately like to convert this into a core asset or potentially look to do other situation things. 
Andrew Kuske: And then just finally on MGPL, how do you think about the run rate, EBIDTA or FFO from that asset really in the near term in the next year or 2? 
John Stinebaugh: I think if you want to try to estimate a run rate, probably looking at cash flow of the third quarter would be more indicative. The fourth quarter we did sell some cushion gas which is a nonrecurring revenue stream. So I think the third quarter would be more indicative of the EBIDTA this business can produce. 
Operator: The next question comes from Robert Kwan of RBC Capital Markets. 
Robert Kwan: Just first a quick question turning back to DVCT, just in terms of the milestone ahead of the potential 2013 decision, you’d mentioned negotiating contracts. Is there any expectation of, I wonder if you could share some timing on that? 
Samuel Pollock: At this stage, Robert, Sam here -- I don’t think I could give you a specific timeframe. I think I would hope that maybe by the end of the second quarter that we could give a further update. I think it’s probably a little ambitious to think that we have something for you next quarter. But I think it will come together quickly. I think one of the dynamics at play is that there is significant expansion of coal mines underway in the region and these coal miners are very eager to lock up their logistics chain as quickly as possible. So everyone is motivated to move quickly. But as you know, these things take some time. 
Robert Kwan: Sure. And do you still think that there is room for both your port and the Adani Port? 
Samuel Pollock: Yes. I think as you might recall a couple of quarters ago, we mentioned that we have request from customers that represent 130 million tons per annum for our particular facility, probably 2x what we currently intend on building. Adani’s pipeline of customer is much smaller and part of that is owing to fact that they really intend for lot of that capacity to be before internal purposes. They have got a large coal mine in the Galilee basin, which either they will put through their Abbot Point Terminal or go tending Dudgeon point. But I think their strategy is probably less focused on a multi-user template than ours is. 
Robert Kwan: Okay. Just turning to European, your strategy there I mean previously you talked about some of the opportunities being buying some assets in European construction/concession firms and we saw that the Chilean toll road came out of that. You are talking now about some toll roads on the continent and you actually have been talking that for a bit, but can you just add some color as to how the opportunities on the continent have progressed may be what you might be looking at or not specific assets but opportunities outside of toll roads?  And then specifically, what countries do you see the best opportunities, and if there are any countries that you would want to be staying away from right now? 
Samuel Pollock: I think let me start just with our pipeline in general. We are active I would say in all parts of world today. From organic perspective that’s our intentions primarily in the Australian market. And then, in new investments, we are seeing lots of opportunities in South America at the moment. North America is -- has been challenging from a cost of capital perspective. We have looked at number situations but there appears to be at least bids and assets that we have looked at, we have come across a lot of competition. In Europe it’s been less so. We have been able and have had considerable discussions with parties on toll roads and other types of assets. The big challenge in a distressed market and why things have been probably low but slower to develop than we would have liked is just the bid outspread from buyers and sellers tends to be a bit wider because less people are looking at it, they don’t have as much comfort around their market testing. And obviously, our -- the values that we ascribe to the assets reflect the market conditions and the risks that are in the market today. And so, the transaction tends to have a little bit more structuring involved too, because of concerns around the Euro. So, that’s sort of a broad explanation as to why some of our efforts in Europe have been a bit slower than we would have liked, but nonetheless, we do have lots of irons in the fire and we are still very optimistic that we will be able to get some transactions done. As to countries in Europe, I think the UK is a market obviously that we like and that’s one where I think we are relatively comfortable with the regulatory framework and sustainability of its currency. In Mainland Europe, I would say we are probably not focused, I can tell you where we are not focused. We are not focused in Greece, I think we find that market a little challenging to get our head around. We have been looking though in Germany, in Spain and even Portugal. I would say we still have some work to do to get comfortable in the peripheral countries and so, our investment committee is still analyzing the issues around that. But I think any transaction we do in those southern countries will probably be structured and limited to very high quality businesses that we can get our heads around. 
Robert Kwan: Okay. And just to be clear, Sam, when you talked about peripheral countries, was that outside of the Germany, Spain and Portugal or are you talking about Spain and Portugal specifically? 
Samuel Pollock: Yes, I was talking about Spain and Portugal. 
Operator: The next question comes from Bert Powell of BMO Capital Markets. 
Bert Powell: Sam, in Australia on the Westnet or Brookfield Rail, you talked about the field taking the tons per annum up to 24 million, but in the past you had talked about indications that could go up further, another 14 or 15 million tons per annum. Is that still the case from the indications you are hearing from your clients? 
Samuel Pollock: Yes. So, I guess the short answer is yes. We have a couple of customers in particular to that are expanding their -- are building their operations right now. And we know that they have ambitions to operate at much higher rates than the base rates that we’re currently assuming to be transported and the minimum volumes that we've identified the people. Probably the one that’s most notable and the one that you can sort of follow would be the Karara project by Gindalbie. They are a major customer for us. They are a foundation tenant for our Midwest rail expansion, and in their materials they regularly talk about taking their mining capacity from 10 million tons a year to 18 million and then up to 30 million at one point. There is lots of port capacity that will have to be built. In order to satisfy that so I don’t want you to put those into your numbers right now, because that’s down the road and lots of things have to happen. But that’s a project that’s backed by the Chinese and if you speak to the proponents of that project they definitely feel that they can get there at some point. 
Bert Powell: Is the port expansion an opportunity for you? 
Samuel Pollock: There are number of port opportunities in that part of the world. The big one, which we haven’t concluded whether or not it makes sense for us to participate is the Oakajee project, it’s the one that’s just north of Geraldton and probably the linchpin project to provide the outlet for a lot of the expansions in the Midwest that we see coming on. There are also requirements to upgrade the ports, the southern part of the Western Australia, Tawana, Esperance, probably just to name 2 of them. And those are -- we are in fact currently evaluating ways to work with the port authorities and some of the mining companies on partnering to expand that capacity. So, those are part of our organic initiatives that, our shadow pipeline I would call it, that we’re trying to move forward. 
Bert Powell: Well, it’s just at a distance to give it some timeframe. What would be a reasonable expectation for those kinds of opportunities?  Are you talking 2013, 2014, or it’s kind of 2017 beyond? 
Samuel Pollock: Good question. I probably want to air in the cautious side. I think these are projects that are probably 2014 to 2017. I think some of them will start soon or later day in around 2014. It’s a little unclear as to how it would take to bring them to market. Some of them are smaller in scale and so very close to surface in relation to some of the iron ore projects, and so, we may come quicker than some others that are much more comprehensive projects that could take several years to build. In the case of some of the coal opportunities, they already exist. I think a lot of the coal in fact gets shipped internally but now the Indian companies have acquired those coal companies -- are looking to export it. And so those definitely could move quicker depending on the speed of which the Indian companies can progress. 
Bert Powell: And just a last question on the extensions that did come in this quarter MRL and extension held assuming those didn’t start on day 1 of the quarter, can you just give us a sense of either in time or dollar magnitude what those contributed to FFO in the quarter? 
Samuel Pollock: Sure, let me start there and maybe John can add to it. We had 2 customers that started in the quarter, actually didn’t start too probably late November, so we’ll have in the first quarter the full contributions from them. They also have a bit of a ramp up. I would expect that these 2 customers probably on a quarterly basis would contribute plus or minus $12 million of EBITDA. I’m not sure we’ll get there exactly in the first quarter but that’s probably a good quarterly run rate for them. Our other projects are progressing well. I think is the main -- we’ve got 2 more that will be coming on, in fact I guess there’s probably 3 more that will be coming on, the balance of this year. We have one customer that will be coming on probably the latter part of the first quarter, so that will be 3. We have 2 more that are coming in the backend of 2012. 
Bert Powell: Sorry. Who comes on in Q2, KLM or… 
Samuel Pollock: Extension Hill came on as did MRL. We’ll have Cliff come on next, and then we’ll have Worsley and KEML come on in the latter half of the year. 
Bert Powell: Okay. But who would addition to the 2 of this quarter come in Q2?  So I thought I heard you say that. 
Samuel Pollock: It's Cliffs. So that one probably won’t have much of an impact in the first quarter because they’ll come on late in the first quarter I believe. So the timing with any of these things, the timing does ramp up. These projects don’t sort of hit the ground running. Most of them have minimum volume guarantees that sort of build up over 6 months and so you should be cautious in putting your models any additional revenues in the first 6 months here, you'll phase it in. I think by the end of the year though we should have much of the $150 million of incremental EBIDTA will be pretty much in place. So going into 2013 we feel pretty good about those. 
Operator: This concludes the time allocated for questions on today’s call. I will now turn the call back over to Mr. Pollock for concluding comments. 
Samuel Pollock: Okay, thank you, operator. I just want to thank everyone on the call for participating and we look forward to speaking with you again in the next quarter.